Operator: Good morning, ladies and gentlemen and welcome to the Osisko Gold Royalties Q2 2020 Results Conference Call. [Operator Instructions] Please note that this call is being recorded today, August 6, 2020, at 10:00 a.m. Eastern Time. Today on the call, we have Mr. Sean Roosen, Chair of the Board of Directors and Chief Executive Officer of Osisko Gold Royalties; Mr. Sandeep Singh, President of Osisko Gold Royalties; and Mr. Frédéric Ruel, Chief Financial Officer and Vice President, Finance. I’d now like to turn the meeting over to our host for today’s call, Mr. Sean Roosen. [Foreign Language]
Sean Roosen: [Foreign Language] And I'll switch to English now. And just to recap what I had said, we really are trying to make sure that we are the best partners out there for COVID-19 for both of our operators, our employees and our investors. We've taken a lot of steps and tried to be a leader in terms of how things should be done and can be done during this pandemic. We've taken a very strong position in terms of supporting all of our operators and to do the best we can to take care of all of our associated partners, employees and families that are associated with us and those in the greater good of our society, as we go through this pandemic. I'll start off with a basic recap of the business. I don't want to lose sight of where we are in this pandemic. But we did produce 12,386 GEOs in the quarter. We had $28.7 million of revenues and royalties from our products that we that were invested in. Cash flow from operating activities was at $15.4 million, net earnings at $13 million with about $0.08 per share, adjusted earnings of $5.7 million after several payments, including dividends. We withdrew production guidance due to COVID-19 in Q1 and Q2 – sorry, in Q2. We are back now guiding to about 63,000 to 65,000 ounces a year. And for the first half of the year, somewhere between 30,000 – sorry, second half of the year, sorry, from 33,000 to 35,000 ounces as the mines come back online. We also did a financing in the second quarter of $85 million with Investissement Québec. And we really thank the government of Québec and Investissement Québec for having partnered up with us during a hard time. It was more sort of a vote of confidence, I think from our partners that Investissement Québec to really to come in and bolster our balance sheet and time when things were unclear. And obviously we have a lot of commitments in Québec and partnerships with Investissement Québec. So this makes great sense for us to continue to have our partners invest in us and with us as we report. We also improved the silver stream from Gibraltar having paid $8.5 million to transfer price to go from $2.75 an ounce and transfer price down to zero. So we basically had a royalty status on that silver stream, which I think is an exceptional asset to achieve during this market where we see a lot of competition for royalties and streams. So it's often to the team for getting the deal done and obviously a big vote of confidence from our partners at Gibraltar and Taseko in terms of their confidence to choose us as a partner on that deal as we go forward. Also we saw the commercial production declaration from Victoria Gold, obviously a huge milestone for us. We have a 5% top line royalty on that project. I’d like congratulate John McConnell and the whole team at Victoria for just exceptional mind built. Just getting that project going during a time when we faced a cold – a couple of cold winters. And we saw the thing through and John and his team are building the Canada’s next best to gold mine, and it was the largest gold mine ever built in the Yukon and heading for 200,000 ounces a year plus production, and just an exceptional outcome on that project with our partners from Orion Mine Finance. And ourselves having led the charts to get the project financed back in 2018 and 2019, when everybody else was hiding under the bed. We were able to get that project finance and John's management team deserves a huge kudos and hats off to the work that they did there to make that project work the way it is working now. And obviously hitting a premium goal market, it couldn't have been smarter and it couldn't have been better. So that's the way we see it. In terms of our COVID-19 results. Obviously, Osisko really hasn't had a big impact on us in terms of what has been for other industries. And we were quite humble about taking advantage of the situation. But the price of gold has gone through the roof and our partners continue to operate at a very good pace and we see a lot of things positive happening in the gold space in terms of the projects that we're involved in as we go forward. We declared a $0.05 dividend in 2000 – as of this July 15, 2020. So that continues to be a leading dividend in the goal space. Subsequent to the Q2 results, we are looking for 33,000 to 35,000 ounces of GEOs in the second quarter. Obviously, it’s a gold price, anything is not pure gold is taking a back seat in terms of GEOs on an equivalent basis. So we're definitely seeing revenues increase based on the pure gold assets, in a proportionate basis to other – on other assets. I'll move on right now to Page 12 and I'm going to hand it over to Fréd to take through if you could please.
Frédéric Ruel: Thank you, Sean. Good morning, everyone. As previously noted by Sean, our deliveries of precious metals were affected by the COVID impact in Q2. Several of our operating counterparties have announced temporary operational restrictions due to the COVID-19 pandemic, including reduced activities and operations placed on care and maintenance. As of to-date, most operators have restarted their activity and have reached or are expected to reach their pre-COVID level of operation in the near-term. The strong gold price have offset the reduction in GEOs currently in the second quarter, which should lead us to a great second half attributable in terms of cash margin and cash flows. If we go to Page 5 of presentation, revenues from royalties and streams amounted to $28.7 million compared to $33.8 million in Q2 2019. Cash flows from operating activities were $15.4 million compared to $21.4 million last year, excluding the impact of the changes in non-cash working capital items, operating cash flows were $18.6 million compared to $23.5 million. On Page 6, we show a breakdown of our cash margin for Q2 and year-to-date. The cash margin on our royalties decreased by $3 million to $20.7 million in Q2. For the first half of the year, the cash margin on royalties reached $46.4 million, less than $1 million lower than in 2019, despite the COVID impact on our deliveries due to the strong gold prices, which offsets the [indiscernible] The cash margin on our streams was $6.4 million in Q2 similar to 2019 and $15.4 million for the first half of the year, which was $3.2 million higher than last year, resulting in a cash margin on our royalties and streams of 95% in Q2 of this year compared to 90% in Q2 of last year. Our total cash margin reached $27.8 million in Q2, including $2.6 million from our uptake agreements, $3.7 million lower than in 2019. Year-to-date our total cash margin was $63.1 million, an increase of $1 million. On Page 7, we present a summary of our earnings and adjusted earnings. Net income was $13 million in Q2 or $0.08 per share compared to a net loss of $6.5 million in Q2 2019 or $0.05 per share. Adjusted earnings were $5.7 million or $0.03 per share compared to $8.2 million or $0.05 per share. And going to Page 8, a representation of where we have a summary of our results for Q2 and year-to-date. GEOs from gold production were lower this year, partially due to the sale of the Brucejack Offtake in 2019 and of course, the impact of COVID. The decrease in our total revenues from $232 million to $41 million was also due to the sale of Brucejack Offtake as well as result of the COVID pandemic. But this was partially offset by the higher realized price on our goal. Our average gold price per ounce sold amounted to C$2,363 in Q2 of this year compared to C$1,766 in Q2 of last. Gross profit for Q2 was relatively flat at $19.1 million compared to $19.7 million in 2019. On Page 9, you will find a summary of our financial position. Our cash balance at the end of Q2 was $200 million, our debt amounted to $422 million, which includes the drawdown of $50 million in March on new revolving credit facility as a cautionary measure. Our net debt amounted to at the end of Q2 $220 million. If we include the $100 million accordion available under our credit facility, the facility available is over $400 million at the end of June, which places Osisko in a very good position to deploy its capital. In addition, our equity investment portfolio is currently valued at over $300 million for a total firepower of over $900 million. On Page 10, you may find our updated guidance for the second half of the year. As you know, we withdrew our guidance for the year ending March, due to the uncertainties related to the pandemic. We have now issued up new guidance. We expect GEOs of between the 33,000 to 35,000 in the second half of the year with a cash margin on our royalties and streams of 95%, for annual update guidance of 63,500 ounces to 65,500 ounces. It's good to know that Q3 will be slightly active, again by reduced mining activities. In Q2 some of our royalties are delivered with the delay of one to two months. We expect the situation to be full back to normal in Q4, benefits from this exceptional gold price environment. Now back to you Sean.
Sean Roosen: Thank you very much, Fréd. I just wanted to give a snapshot of your company, the shareholders own this company. And things are going exceptionally well. I think in terms of where we are from an asset standpoint, obviously from a share performance standpoint, we have some ground to make up, but the fundamentals of the company remain exceptionally solid in a space that's very difficult. The next slide will show you the quality of our portfolio, over 135 royalties and streams and precious metals offtakes. Diversified cash flow from 16 producing assets, 91% going to 95% cash flow operating margins in terms of most of our assets are in royalties. So we don't have margin compression the way that others do. And that sort of I think, distinguishes the portfolio from a lot of other and so this is a dominantly royalty portfolio, as opposed to a streaming portfolio. Page 12, the quality of investments, I mean, we've done a lot in terms of making sure that we had quality and our dividends sits at 1.5%, which is the best in the space. As you can see here, Wheaton and Royal and Franco are all at a 1% or less, whereas we're at 1.5%. So we do offer kind of a wait and see attitude. And I thinking that, obviously, as an increased gold price, we have leverage to a significant amount of growth assets, in our portfolio, as we always said, we were strong growth company with our accelerator model. So we're well leveraged to take advantage of this gold price as we move further into it. Significant undervalued amount there in terms of re-rate, it's surprising to me that that we haven't seen the re-rate yet, but for those who come in now I think that the re-rate is fairly eminent as this goal price persists. And we see what the actual upside of Osisko can be here. In terms of our trading, we've been highly liquid stock and over $18.5 million per day. The balance sheet over $202 million of cash on the balance sheet, over $900 million of finance capacity, if you include our available debt capacity and our equity book, we sit with one of the biggest dry powder. We have the ability to fire capabilities of all the royalty companies in the world. Right now, it's over C$900 million in available firepower to get going on a new transaction. We do think that there are some transactions that will happen at this price level. However, we've always rebuilt our portfolio in the past. So even if nothing were to happen we see quite a bit of opportunity for us. And if you look forward to Page 13, you see what that we go for about 140,000 ounces of GEO, just on our organic growth of things that our shareholders have already financed and paid for. So we have the organic growth. We don't have to reach, we don't have to stretch, and we don't have to pay premiums that we've seen people paying in the space, that are quite high in terms of achieving assets. All we really have to do is just sit back in harvest rate. Now Page 14, I think it’s probably the most exciting slide of this entire presentation today. And then terms of things that we knew about when we sold Canadian Malartic back in 2014, that are now being documented and drilled to resource and reserve level by our partners that Agnico and Yamana and congratulations to them on a great job in terms of transitioning this project from what we always know was a great open pit mine to what it looks like, it may be one of the best ever underground gold mines. This is – it was quite exceptional deposit produced 8 million ounces by the time we got there in 2003, we documented another plus 8 million ounces in the open pit, and now there's another 10 million ounces in the underground. So this was ranked as one of the best gold deposits ever discovered in the world. And it continues to deliver value for both the Agnico and Yamana shareholders, and also the Osisko shareholders. And we congratulate them on a job well done, and we look forward to seeing the underground pits that deliver here. We haven't really seen it calculated in our share price, but we think it's high time that everybody understands that Canadian Malartic underground is a significant contributor to Osisko Gold Royalties as we move forward. And we wish our partners well on that, and we want to see it come forward. And if you see, look, it's Page 18, you can see that the dominantly things that are important to the new mine plan are on the Osisko 5% ground as we move forward. And we see some of the other assets that are there continue to contribute that really weren't in the calculation I hope things for Osisko. So that's all good news for Osisko shareholders. And we look forward to seeing the evolution of that mine, the underground translation, obviously, these gold prices, I think that everybody being incentivized to move forward quickly. The next slide that we have here shows that the Eagle project, obviously, on target for ramping up to 200,000 ounces a year, for which we have a 5% royalty on. We continue to be – we have a sliding scale up on our Éléonore mine. In Québec and Mantos has been seeing an increase as well. And congratulations to John Burzynski and the Osisko mining team in terms of success that they've enjoyed at Windfall Lake and come back with just a massive discovery there with over 5 million ounces of high-grade ounces at plus 8 grams and continued to drill here with over 30 drills onsite as we speak today. So just knock it out of the park success there. Osisko Gold Royalties shareholders, this is obviously, shows why our accelerator model is important. We backed John at the very beginning of this process, and we were able to achieve exceptional numbers in terms of what we ended up paying for the royalty. But the reality is we took the risk early on. And our model I think is proven beyond a shadow of a debt by Windfall and Hermosa, where we've taken these risks to the bets early on. And we just had exceptional returns and there's so much better than anybody else's royalty and streaming deals in the space that it's hard to argue that we wouldn't want to continue on with that business, with the returns on some of these deals being in the thousands of percent, as opposed to the 1% or 2% returns that we're seeing currently go off in the bank run processes for it. There's a lot of bidding going on, but not much is being accomplished in terms of net return. So we continue to believe in that model, the accelerator model is demonstrated well here, I think by both the Windfall and Hermosa. Horne 5 continues to be a significant asset that's in our portfolio has been undervalued is currently at 6 million ounces of GEOs in reserves, not in resources. And then on to Cariboo, which has been sort of a controversial topic within the Osisko portfolio. Last week, Cariboo was at 4.4 million ounces. There will be an upcoming resource out. And this is mining project. This is a mining camp. And we're going to give you more information on that as we get further into the year. But I can tell you that things are going extremely well at Cariboo and the drill results are starting to build a case to confirm what we always believe, which is, this is not just a mining project, but it's a mining camp. Onto Page 19, we do have a high exposure to the gold prices. We believe in terms of royalty and streaming companies that we are the purest of them all, in terms of being mostly exposed to gold, a lot of other companies are sidebar to copper mine or polymetallic mines or they have other ingredients in their cake that make them a little bit less exposed to gold. So we continue to be proud champions of the highest gold component in the space with 81% at our center. On Page 20, there – the business plan for Osisko hasn't changed since 2014. We were allocating 25% to our earlier stage accelerating models and do the things like Cariboo, and 75% to our sort of last money in strategy, where we're bidding on things like we did with Victoria Gold. The plan hasn't changed too much. And I realized there's been a discount on the stock because of our hybrid strategy. But at the end of the day, when I look around the gold price today, I have to think that we were pretty much right on the money, in terms of what we bet on. And we need to deliver those returns in the share price now. So that will be the challenge for the management team as we go forward into the fourth quarter. And as we see the summer end to really bring it home, that the hybrid model where we put that 25% of the accelerated companies, and we've seen some of these accelerate companies like Barkerville will advance through the accelerator business, into the development business and we need to take advantage of that for our shareholders. So that will be the challenge for Sandeep and myself as we come in to the end of the year to really make sure that we transition that valuation that we've created there into the share price. In terms of opportunity, we've looked at our accelerator model and we've created quite a bit of value here. I just wanted to recap for shareholders, the things that we did do, the incubation of Osisko Mining happened in 2015, it was an $8 million market cap is now $1.3 billion to $1.4 billion market cap. We did Osisko Metals with our friend Bob Wares that started out as a $5 million, $6 million market cap is now $70 million, $80 million Falco Resources. We started that company out in 2015 really, Luc Lessard stepped in and really put the meat on the bones in terms of that project is trading at about $100 million right now, but it certainly can be bigger than that. Talisker Resources led by Terry Harbort really another brownfield camp in BC. That's sort of seeing the light of day and benefited from the tactical and structural geology that Terry brought to the team to really advance that project forward. Minera Alamos, we saw that company go from $13 million market cap to currently $230 million. So if you does this only invested in the sidecar companies to Osisko, you've done pretty well. And we continued to be that incubation and that source of really hardcore grinder incubation companies, where we take an opinion on an asset, we take it and we build it. And we get in there early and we work at hard and that people like Chris Lodder and Ruben Padilla, and Terry Harbort and Bob Wares and John Burzynski, they all bring that extra effort and that extra personality and character to these assets that we've been able to uncover as we move forward. And I'm pretty proud of what we've done, the incubation strategy. So on the final slide here today, [Audio Dip] the upside, we have the opportunity, we have a team and we have the ability to acquire assets, to mobilize those assets and take them through to fruition. And I thank everybody for supporting us as Osisko shareholders. We look forward to bringing you to the latest fold, and obviously, Cariboo will be a big part of the story as we get into the rest of the year. But also what John is doing with Osisko Mining, Terry doing with Talisker and Bob is doing with Osisko Metals are pretty important parts of our story as we go forward. So I like to thank everybody for [Audio Dip] today and then we'll see to get to, but we don't think that there's anything wrong here, if ever there has been a time when we are arise, this is it now. So thanks everybody. And I'll turn it over for Q&A.
Operator: [Operator Instructions] Your first question comes from George Topping from Industrial Alliance. Your line is open.
George Topping: Great. Thanks, operator. Hey, Sean, Sandeep and everybody else. So what’s in the Cariboo gold project, Sean? You back up and running through steep there on the exploration and reclamation activities et cetera? Hello? Hello?
Operator: One moment, please.
Sandeep Singh: Yes, hi, George. I think, I hear you, I don't know, we lost Sean there for a moment, or if he's on mute, but I'll start the answer. Hopefully, he's right behind me. But yes, good morning, George. Yes, things are generally back up and running. We did take a bit of a hiatus to make sure that we had the least amount of footprint during kind of the pandemic. So generally speaking, we slowed things down and in the near term, we'll be looking to kind of get back, going to full steam with respect to exploration and some of the small remedial work that we're still doing there to clean up pass sites.
George Topping: So you're still going to send the $10 million for this year, you think, from of the MD&A?
Sandeep Singh: Look, I think there's certainly the ability to catch that back up. I think as I said, it made sense to take a bit of a hiatus just to make sure that we were protecting our employees and the community most importantly. And there's so many the ability to catch that back up over the next two quarters.
George Topping: Well, there's rules route to the permitting as well with the government being in practice.
Sandeep Singh: Sorry, George, did you say whether there was an impact on the permitting from COVID?
George Topping: Yes, on the permitting schedule.
Sandeep Singh: Yes. Not as of yet. I mean, I think there's been enough buffer and redundancies in our permitting schedule that we can absorb kind of what's happening in the near term. Our team has continued to work, whereas we weren't necessarily full-steam onsite. We've certainly been full steam ahead on the permitting side. As you can imagine, a lot of that is desktop work and engagement. So that's all been ongoing as fast as we can get it moving. So I don't think we've really suffered any delays from that perspective as of yet. And again, I think if anything, we had the ability to fast track permitting the community. The first nations, the government have all been very supportive and we look to kind of continue that with them. And as long as we keep acting responsibly, we think we have the opportunity to make up ground not necessarily lose it.
George Topping: All right. And then second question that the diamond market has been interested and what’s you're saying there with respect to diamond sales and pricing obviously for the Renard diamonds.
Sandeep Singh: Yes. Obviously, Renard remains on care and maintenance. The diamond market was completely busted through this COVID piece. We're starting to see signs of life just broadly on the diamond. On the diamond side, there are more sales kind of coming about. Some have already transpired. We've seen a small uptick on that side, but I don't think it's – I think it's fair to say that we’re not out of the woods there, but diamond price perspective, nor as anyone in the sector. But we have seen some moderate improvement. I think from a retail perspective, again, we're not back to pre-COVID levels, but there are positive signs out there that things are returning to normal if you will. And so I think we'll be cautious and we'll look to see some moderate improvement, but there are – we've got a very sound partnership that's involved with the Renard mine. It is a good mine. There's a billion dollars of good infrastructure that was spent there. It's really just missing a little bit of joy from a diamond market perspective, but we certainly hope, the guidance we put out today does not reflect Renard, just given the continued uncertainty for diamond price perspective, but we certainly hope that Renard will come out – come back into the full for us. And I think the partnership is working on ways to do that and going forward.
George Topping: The commodity specialists that you speak to, are they detecting the price and say the next 12 months or so at a level, where you might reopen the runoff?
Sandeep Singh: Yes, look, I think there's certainly that ability, I think remains to be seen, obviously, it's not the Eagle paying market to have to operate within from a pricing perspective. I think the sales that are coming up now, some of the ones that already happened, some of the ones that are coming up soon will be pretty telling. And you can imagine where we're keeping a close eye on that. In the meantime, I think the mine has been doing everything they can to bring their own cost structure down so that they can bridge that gap, not necessarily through diamond prices, but also through just being more efficient at everything we do. So look, I think, as I said, a lot remains to be seen there. But we are cautiously optimistic that we're just a little bit of improvement on the diamond side. There might be a reset there in our future.
Sean Roosen: And George, maybe I'll just add a little bit of color to that. As you know, I know we've been around for awhile, so it's never as good or as bad as everybody likes to think it is. And I think the diamond market, we were seeing a lot of sort of smart people are going back and doing assets in the diamond space, so cautiously optimistic, all the way around on the diamonds.
George Topping: Got it. Great. I’ll pass it on, I have taken enough time. Thank you.
Operator: Your next question comes from John Tumazos from Very Independent Research. Your line is open.
John Tumazos: Thank you. Congratulations on better price environment. And maybe people will understand and embrace the incubator model now.
Sean Roosen: Well, John, we currently hope your enthusiasm is shared.
John Tumazos: I'm trying to throw you a cream puff without being too difficult. And maybe people don't understand the value of Cariboo or how smart it was to buy Barkerville late last year. What is the lowest – what is the highest offer you've turned down for Cariboo or what do you – what is the lowest you'd sell it for? It looks like, it's a big piece…
Sean Roosen: John, you're putting me on the spot on a lot of fronts here. But I will say that, Cariboo has continued to deliver, not just, obviously from the gold price change, but we've had significant success at the drill bit on that project. And we're going to be coming back to the market to tell you about that here in the next short while. But obviously, we bought – it was a 4.6 million ounce deposit at $1,300 gold, and we're now dealing with $2,000 gold. So we don't – we claim that we're too smart, but we were smart enough to recognize that this was asset, unlike others. It’s not just a mind deposit and that we’ve identified it’s the overall resource that we’re dealing with there is only in the first four kilometers, and we have 83 kilometers to deal with. So we kind of feel that we had to take the hit that we took, and there was a lot of punishment it was dealt on the share price for that. But hopefully we’ll see some reward as we come back and we demonstrate the strength of this asset and the fact that it’s not just the deposit, but it’s actually a mining camp. So, we’ve got our work to do John. And we’ve said no to quite a few corporates, and there there’s a lot of discussion around it because the number of deposits that can actually go to 5 million ounces of minable in the world is quite slim and Barkerville is a camp. And we see upside there, a single process facility with multiple mines up and down the trend. As we get forward onto it, and we’ll be a little more vocal about it as we come into Q3 and Q4, John. We appreciate your view and the fact that you’ve done the work to go and look at what Barkerville actually is.
John Tumazos: Do you think it’s reasonable to expect the pay day to be over $500 million with the first $500 million tax shielded?
Sean Roosen: I don’t like to put numbers like that out there without having a lawyer and accountant sign off on them, John. But certainly, we see here in a PA study that we did last year, couple hundred thousand ounces a year with all its standing costs being below 800 – sort of in the high 700’s. This thing is worth a ton of money.
John Tumazos: Congratulations, and thank you.
Sean Roosen: Thank you, John.
Operator: Your next question comes from Kerry Smith from Haywood Securities. Your line is open.
Kerry Smith: Thanks, operator Sean or Sandeep. Just on Cariboo, you are going to provide an update sometime later this year on that asset. Will the resource update come as part of that disclosure or is that going to come out earlier?
Sean Roosen: Kerry, I think where we are on it right now is that everybody’s been so negative on the asset. We’ve been a little hesitant to get out there, but our work is being done and we’re going from four to 10 drills on the project as we speak. And as we get more comfort in terms of delivering, not just a resource update, but a reserve update, we’ll come back to you. But I would suspect it to be in Q4.
Kerry Smith: Okay. So it’ll all come at the same time then. Okay. That’s great. Thank you, Sean.
Sean Roosen: Kerry, we’re going to deliver a bulletproof resource curfew. We don’t really want anybody else poking at this thing. We know the assets solid and we just want to make sure that we deliver the proper product.
Kerry Smith: Okay. Got you. Thank you.
Operator: [Operator Instructions] Your next question comes from Jeremy Hoy from Canaccord Genuity. Your line is open.
Jeremy Hoy: Hi. Thanks for taking my question. I think a lot of my questions have been answered. Actually they were all serving Cariboo and Barkerville. Just related to next steps in the back half of the year, you just have a resource and sort update coming. Anything else going on with that project? You mentioned increased exploration as well.
Sean Roosen: Yes, absolutely. Mr. Lodder and Maggie have taken – amongst themselves who go out and get us 28 new drill targets. So we will be hitting those targets on a priority basis outside of our infield drilling. And yes, it’s been very exciting times at Barkerville and I hope that everybody will be impressed when we come forth with the information. But given the reaction that we’ve had in Barkerville in the past, we’re not going to come out until we actually have a final product for you. So, it will be fourth quarter information. And we will make sure that everything is drilled beyond the shadow of a doubt before we show it to anybody. Just based on previous reactions to that asset in terms of where it sits. We think that metallurgically mining wise, permit wise that we’ve been able to de-risk the assets significantly. But we’re going to come forth at the same time with that information probably more into Q4.
Jeremy Hoy: I’d appreciate that. Thank you.
Operator: [Operator Instructions] Your next question comes from Adrian Day from Asset Management. Your line is open.
Adrian Day: Thank you. Just a quick question. Listen, I may have missed it completely, but with the Malartic underground, did you in the end have to make any concessions on the royalty.
Sean Roosen: Adrian, thank you for the question. The answer is no. The question that was being served up in the marketplace to shareholders previously was whether the royalty was making as much money as the rest of the mining group was at $1,200 or $1,300 gold price. I think that that discussion has ended. We’re obviously well north of $1,200 to $1,300 gold. We have no intention to make any concessions now. And there’s been a bit of a discount on the Osisko share price anticipating that we would be making a concession on that royalty. But we have no intentions to do so. And obviously $2,000 gold, it’s not really even a relevant discussion that we would entertain.
Adrian Day: Super. Thank you. Thank you.
Operator: We have no further questions. I’d like to turn the call back over to the presenters for their closing remarks.
Sean Roosen: So I’d like to thank everybody on the call today and we appreciate it. Osisko has been a growth company and we’ve had the lumps and bruises going through the marketplace as we built that growth portfolio. But obviously, I think that multiplied by the current commodity price that the risks that we took in building this portfolio over the last five years is paying off for us now. And I encourage Osisko shareholders to be loud and proud about their persistence and their participation with us as we went through this asset building program. And I’ll sign off there and thanks everybody.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.